Operator: Good day, and thank you for standing by. Welcome to Q1 2025 BXP Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker, Helen Han, Vice President, Investor Relations. Go ahead.
Helen Han: Good morning, and welcome to BXP's First Quarter 2025 Earnings Conference Call. The press release and supplemental package were distributed last night and furnished on Form 8-K. In the supplemental package, BP has reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G. If you did not receive a copy, these documents are available in the Investors section of our website at investors.bxp.com. A webcast of this call will be available for 12 months. At this time, we would like to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Although BXP believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements were detailed in yesterday's press release, and from time to time in BXP's filings with the SEC. BXP does not undertake a duty to update any forward-looking statements I'd like to welcome Owen Thomas, Chairman and Chief Executive Officer; Doug Linde, President; and Mike LaBelle, Chief Financial Officer. During the Q&A portion of our call, our regional management teams will be available to address any questions. We ask that those of you participating in the Q&A portion of the call to please limit yourself to 1 and only 1 question. If you have an additional query or follow-up, please feel free to rejoin the queue. I'd now like to turn the call over to Owen Thomas for his formal remarks.
Owen Thomas: Thank you, Helen, and good morning to all of you. Our results in the first quarter demonstrated BXP's continued strong performance given our execution, and a sustained property and capital market recovery. Our FFO per share for the quarter was in line with our forecast. We completed over 1.1 million square feet of leasing in the quarter, which was 25% above the leasing volume we achieved in the first quarter of '24. Further, over the last 4 quarters, our leasing volume of 5.9 million square feet was 33% higher than the prior 4 quarters. Importantly, we made progress leasing up our development pipeline assets and completed several significant leases with important clients such as Goodwin Procter, Cooley and a defense technology company. We completed over $4.2 billion of financing activity, demonstrating improving market conditions and BXP's strong access to capital. We released our 2024 sustainability and impact report highlighting BXP's leadership and accomplishments in sustainable business practices, important to the capital providers, clients and communities we serve. Now starting with the operating environment. The obvious question is what impacts will tariff and other federal policies have on BXP's business? So far, the tariff program has increased volatility in the capital markets, created concerns over the potential for higher prices, inflation and interest rates and reduced consumer confidence leading to more economists forecasting a recession or slower U.S. GDP growth. For BXP, the primary drivers of leasing activity are corporate confidence and in-person work behavior. Our primary concern has been that our clients may delay or terminate space requirements due to the more uncertain operating environment. This has not happened. Specifically for the 1 million square feet of deals where we have a signed LOI and are negotiating a lease, to date, only a single 8,000 square foot prospective user declined to move forward due to market conditions. Doug will describe our current pipeline of leasing activity, which remains robust. Federal funding cuts to the NIH and other research organizations as well as uncertainties over FDA approvals are causing significant concerns for the life science community creating additional headwinds for Life Science leasing. If the U.S. were to enter a recession, leasing demand would undoubtedly slow, but interest rates would likely be lower and remote work would likely decrease due to a weaker labor market. Tariffs will drive up material prices increasing construction costs. Given non-U.S. material procurement is a modest component of our construction budgets and contractors are eager for new business, we don't see tariffs having a major impact on our construction estimates, and Doug will provide a real-time example of this. As mentioned last quarter, we think DOAS has had a positive impact on BXP's Washington, D.C. business as federal workers and their contractors who are our clients return to the office. We are already seeing increased foot traffic retail activity and parking revenue at Reston Town Center as a result of dose. Moving to office market conditions. I will continue to emphasize that the Premier Workplace segment where BXP primarily competes continues to materially outperform the broader office market. Premier workplaces as defined in CBRE's research continue to be the highest quality 7% of buildings, representing 13% of total space in our 5 CBD markets. Direct vacancy for Premier Workplaces is just over 13% versus 19% for the broader market. Likewise, net absorption for Premier Workplaces has been a positive 18 million square feet over the last 3 years versus a negative 30 million square feet for the broader market. Asking rents for Premier workplaces continue to be more than 50% higher than the broader market. Regarding the real estate private equity capital markets, office sales volume in the first quarter was $7.6 billion, down approximately 14% from the first quarter of last year. Though financing remains available and transactions continue to close, the current market volatility has widened credit spreads in both the CMBS and and REIT investment-grade unsecured markets, which should have some impact on pricing. Though several premier workplace transactions are underway in the U.S., there were a few new commitments of note. Moving to BXP's capital allocation activities and new investments, we commenced the development of 290 Kohl's, a 670 unit, 100% market rate multifamily development project in the Soho West submarket of Downtown Jersey City. Jersey City's multifamily market is highly attractive due to its easy access to Manhattan and a less expensive housing option, resulting in robust population growth strong demand for apartments and result in rent growth despite new development activity. Our partners in the project are Albany's organization as codeveloper and Cross Harbor Capital Partners as financial partner. A key attraction of the investment for us is the capital structure, where BXP will be providing $20 million in common equity for a 19.5% interest in the project and $65 million of preferred equity with a 13% preferred return. At project stabilization, the $225 million senior loan and BXP accrued preferred equity investment will represent under 65% of the total $456 million cost of the project and the unleveraged cash development yield on cost is projected to be more than 6%. Including development fees and carried interest earned, we project the common and preferred equity investments together will deliver total returns in the mid-teens. Construction has commenced delivery of the initial units is scheduled for the first half of 2028, and asset stabilization is forecast for the second half of 2029. Continuing with new development, I have described our 930,000 square foot 343 Madison project in Midtown, with direct lobby access to the Grand Central Madison concourse, and located 2 blocks south of JPMorgan's new headquarters building. The Midtown office market is strong and experiencing rent growth with a vacancy rate under 7% for the higher-quality buildings. 2022, 2023 and 2024 were all record years in New York City for leases signed in excess of about $100 a square foot and $200 a square foot. 343 Madison is the only immediately actionable office development site in close proximity to Grand Central Terminal. We have made lease proposals to 7 anchor clients, primarily financial service firms with an average requirement of 350,000 square feet. There are another 10 clients with requirements aggregating over 3.2 million square feet who have received presentations and are considering the building. We expect to launch this $2 billion project in 2025, where, as a reminder, BXP owns a 55% interest. We are in various stages of negotiation for the sale of 8 land sites that will generate, if successful, net proceeds of approximately $250 million over the next 24 months. Several of these sales require reentitlement creating a more extended closing period. We continue to evaluate additional asset monetization opportunities. So in conclusion, DXP is a domestic business with long-term leases and a stable dividend that will not be as heavily impacted as other industries by volatility and global trade. Further, New construction for office has dropped precipitously and users are gravitating to higher-quality assets, the combination creating rent growth in several of our submarkets. BXP is maintaining momentum in both leasing and new investment activity despite this more challenging market environment. With our current leasing momentum and only 3.9% portfolio lease rollover in 2026 and 5.1% in 2027, we expect to gain occupancy revenue and FFO in the years ahead. Development deliveries and potentially acquisitions will add additional growth. I'll turn it over to report to Doug.
Douglas Linde: Good morning, everybody. It's a beautiful spring day here in Boston, and we have a pretty optimistic report that we're going to give you. Owen described our views of the business environment and the current challenges that are associated with the constant dynamic changes in trade relationships and government efficiency. My comments this morning will address what we're seeing in our results and our client interactions. Our client purchase cycle may be a lagging indicator, but based on the first quarter leasing results, both in our current pipeline of transactions under negotiation, and our funnel of possible additional activity, we've seen very little impact on our 2025 plan, which calls for about 4 million square feet of leasing, but more importantly, including about 3 million square feet of leasing on vacant space and known 2025 expirations, which is where our focus is our leased square footage. During the first quarter, we executed just over 1.1 million square feet, which is almost 35% more than our seasonal Q1 average over the last 5 years. More importantly, the activity included 467,000 square feet of leases on vacant space, and 561,000 square feet of 2025 known expirations. This 1 million square feet of leasing activity on our near-term exposure, vacant space and 25 expirations will drive improvements to our occupancy over the next 12 to 18 months. Post 4 125, our current pool of leases in negotiation is 1.1 million square feet. It covers an additional 435,000 square feet of currently vacant space. 230,000 square feet of 25 expirations, 190,000 square feet of 26 and 27 expirations, which will lower our future exposure as well as our second lease at 725 [indiscernible] We have another 1.7 million square feet of active pipeline transactions which could cover an additional 1 million square feet of vacant space or 25 expirations. This would put us on our target for our full year '25 vacant and 2025 expiring lease guidance of about 3 million square feet. One of the inferences from Owen's comments would seem to be enhanced caution from clients as they navigate uncertainty. And we would be naive to think we won't see some impact, but speaking to you today, it has yet to be material. Let me give you a few examples of current client behavior. An existing Boston client with a recent return-to-work mandate believes it needs additional seats, but it's being measured in its approach and waiting until there is clarity of use before they commit to more space. In our Reston, Virginia portfolio, where we have an embedded base of defense and security clients, where those probably we would think have the most impact. We are seeing renewals and incremental additional space needs, not downsizing and canceled requirements. There is a government contractor in the market that wants to relocate a 50,000 to 60,000 square feet block of space to the town center and at the moment, we're unable to accommodate them. In Manhattan, we have 1 existing 11,000 square foot client to put its expansion plans on hold saying, we want to watch how the financial markets evolve in the same building, another 11,000 square foot client in the same industry is negotiating for an 11,000 square foot expansion. In the aggregate, these conversations are consistent with what we were hearing in January 90 days ago. As we discussed in January, an expiration of 350,000 square feet at 200 Fifth Avenue coupled with about 150,000 square feet of expirations in San Francisco CBD this quarter occupancy reduction to 86.9%, a 60 basis point decrease from last quarter. However, we executed a lease for 244,000 square feet of that now vacant space at 2005 and expect occupancy in late [indiscernible] and our pipeline of deal discussions covers more than 125,000 square feet of our San Francisco CBD vacancy. So we're staying pretty level. The least in-service portfolio stayed flat quarter-to-quarter at 89.4%. So our lease but not yet commenced square footage has grown to 250 basis points or over 1.2 million square feet over our occupied square footage. And we expect about 800,000 square feet to commence in '25 with almost all the rest in '26. We have a large pickup in our development leasing this quarter, notice page 15 of our supplemental, where we signed up another floor at 360 Park Avenue South, our second lease at 72512 signed during the second quarter, and we completed 162,000 square foot lease at 1050 Winter Street resulting in a jump from 50% to 62% pre-leased on our development pipeline. 1050 Winter Street was out of service, and we had previously terminated all of the leases in order to reposition it as a life science building. Long story short, a defense technology company that is currently occupying 40,000 square feet in the market approached us to lease the entire building for 15 years and we made the decision to pivot back to office. The building is 100% pre-leased and will be brought into service in Q3 '25. Office market conditions are consistent with our remarks last quarter, with a possible exception that conditions are even tighter in our Midtown New York City portfolio, the Back Bay of Boston and Reston, Virginia. What this means is that availability is sparse, rents are increasing and concessions remain constant. We completed 91,091 individual transactions this quarter, $300,000 in Boston, 420,000 in New York, 350,000 on the West Coast, and 80,000 square feet in Reston. The overall mark-to-market on cash basis was up about 5% with an increase in Boston, flat in New York and decreases on the West Coast and in Reston. Other than the new lease at 200 Fifth and at 1050 Winter, no other transaction exceeded 40,000 square feet. Our highlights in Boston this quarter were in the Urban Edge, where we did a 15-year lease at 1050 Winter and a 39,000-square foot lease at 180 CityPoint. Last quarter, I remarked that we were touring life science clients that had no lab infrastructure needs, while the first of these transactions was executed in the first quarter at 180 City Point. In addition, we are in lease negotiations with a second client for another 40,000 square feet at 180 CityPoint. These life science companies are looking exclusively for office space as they focus their capital on acquiring de-risk products that are in trials rather than pure drug discovery and therefore, don't need lab infrastructure. The economics of doing an office transaction on raw space even though the building was purpose-built lab infrastructure in it are far superior to a lab transaction given the elevated tenant improvements necessary to compete in the markets. These [indiscernible] hold in South San Francisco as well as Greater Boston. In Manhattan, in addition to the new client at 200 Fifth, we were able to do 3 separate 25,000 square foot client expansions at the General Motors Building, 599 Lexington Avenue and 250 West 55th Street. Our most significant Midtown availability today is at 510 Madison, and we are in lease negotiations on 4 full floors. Taking rents in our Midtown properties are up double digits relative to a year ago and concessions are flat to slightly lower. Our availability in Manhattan is concentrated at 350 Park Avenue South, demand is picking up, and there has been some improvement in small tech tenant inquiry. The most significant change in San Francisco over the last quarter has been the completion of some of the large transactions that were in the works. The total volume of leases in the market has settled at a lower level as there are fewer active large requirements, but there are lots of potential clients under 50,000 square feet working in the market today. Many of the traditional office users have continued to rationalize their space which has led to a little if any growth in the San Francisco CBD traditional demand so increasing -- incremental leasing is all about tenant relocations. We had 1 lawfirm move out at EC at the end of '24, and 2 others renew, but they contracted on a total of 5 floors or 125,000 square feet. Each of the 2 renewals had 1 floor of giveback. We've leased 120,000 square foot floor in our lease in lease discussions for another 125,000 square feet of vacant space. View space is in short supply, but spacing the lower sections of buildings is available and competitive. Our new amenity center, the Mosaic is a strong drop for new clients considering Embarcadero Center. 2024 was a terrific absorption year for the AI companies with more than 1 million square feet of positive absorption. We need to see this trend continue. AI is getting a disproportionate share of all venture investing and more than 65% of it is going to San Francisco-based companies, so the future bodes well. Before I conclude my remarks, I want to discuss tariffs as they relate to construction activities. We are currently bidding a multifamily project in Jersey City 290 Colt. To date, about 60% of the job has been bid and awarded, and we are inside of our hard cost estimates by a few percentage points. We've had one trade worthy award bid necessitated a tariff upcharge. The contract, including the tariff cost was still below our budgeted estimate for the subcontract, but it's going to add somewhere between 1.5% and 4% to that particular trade. Given the overall slowdown in new construction, there seems to be enough subcontractor interest to offset potential tariff increases. Remember that construction is a composition of labor, materials and profit. While there's certainly a positive outcome for [indiscernible] , it's too early to predict how U.S. tariff policy will impact our future development activity. And with that, I'll turn the call over to Mike.
Michael LaBelle: Great. Thanks, Doug. Appreciate it. Good morning, everybody. Today, I plan to cover our activity in the debt capital markets, which Owen described briefly as very significant which it was. Our first quarter earnings results and an update to our full year 2025 Earnings guidance. As you know, the debt markets have experienced significant volatility over the past month. Credit spreads have widened in the unsecured and secured bond markets, especially for lower-rated credits. Spreads for stronger companies like us are now tightening again but are still wider than earlier in the year. Our 10-year bond spreads have increased by about 30 basis points, and we could issue in the 10-year unsecured bond market at about 180 basis points spread today or a fixed rate right around 6%. The treasury market has also experienced large swings ranging almost 100 basis points this year. Issuers need to pick their spots in this market, but also can take advantage of the volatility when the market dislocates. We were opportunistic a few weeks ago in the middle of the day with dramatic swings in Fed rate cut expectations. We swapped $300 million of floating rate debt for a year at a fixed rate of 3.68% and locked in some savings. We continue to have open access to all the markets, and we're busy in the bank market, CMBS and the commercial paper market this quarter. In the bank market, we increased and extended our corporate facilities, including increasing the borrowing capacity in our revolving line of credit by $250 million to $2.25 billion and extending it for 5 years. We also extended our $700 million term loan for 4 years plus 1 year of extension options. And we closed a $225 million construction loan [indiscernible] Soper plus 250 basis points in the bank market for our new 290 Coal Street joint venture residential development in Jersey City. In the CMBS market, we closed a $252 million, 10-year fixed rate refinancing of our loan on the Marriott headquarters building that we developed. It priced at a fixed rate of 5.5%, representing a credit spread of 124 basis points over the 4.26% 10-year treasury rate at the time of closing. We closed this loan prior to the recent disruption in the markets and the spread would likely be wider today. We remain an active commercial paper issuer and have increased our outstandings to $750 million. The CP market is our cheapest source of debt capital. Spreads have been moving around a little in the last 30 days, though in a relatively reasonable 10 to 15 basis point range for us. Our portfolio is currently priced at a weighted average yield of 4.27%. Turning to our first quarter results. Our earnings came right in line with the midpoint of our guidance range, and we reported FFO of $1.64 per share. As we look at the rest of 2025, there are a few items to consider. First, and as we discussed last quarter, we have 2 larger expirations in the second quarter, aggregating 465,000 square feet in our urban edge portfolio in Boston. We expect our occupancy to decline slightly in Q2 before starting to increase in the back half of 2025 as our signed leases and our 2025 leasing plans start to take occupancy. Second, in our strongest markets of Midtown Manhattan and the Back Bay of Boston, we're creating transactions to increase future revenue where we currently don't have available space. As a result, we're taking back space early to complete long-term leases with expanding or incoming clients. This quarter, we terminated 2 floors at 599 Lexington for this purpose, and we're working on a floor at both the Prudential Tower and at 200 Clarendon Street. These deals pulled forward downtime into 2025 in favor of starting new leases with higher rents in 2026. The new leases will be reflected in our leased percentage, but not in occupancy in 2025. We have taken a 360,000 square foot building in the Urban Edge of Boston out of service this quarter. We are relocating several clients into the other buildings in our portfolio. The building is extremely well located, and we're evaluating multiple feasible future redevelopment plans. The impact is a shift in the NOI of this asset from our same property pool to our out-of-service portfolio. Also, as Doug mentioned, we signed a 160,000 square foot lease at 1050 Winter Street. We're completing a repositioning of the building and added it to our development pipeline with full occupancy projected in the third quarter of 2025. This deal combined with leases signed at 180 CityPoint and 360 Park Avenue South as well as faster-than-expected lease-up at our Skymark residential development in Reston has resulted in our increasing our assumption for the contribution from our developments placed in service. So overall, we are narrowing our 2025 FFO guidance range, and maintaining our midpoint with a new range of $6.80 to $6.92 per share. The changes in our guidance assumptions include an increase in the contribution of our same-property portfolio of $0.02, an increase in the contribution from developments placed in service of $0.01 offset by a reduction of $0.02 in NOI from our buildings out of service and minor changes to our net interest expense of $0.01. Leasing remains our biggest focus, and we're delighted by another strong quarter of more than 1.1 million square feet of leasing in the portfolio. Our pipeline continues to build with 2.8 million square feet of signed letters of intent and active proposals, which represents an increase of 15% since our last call last quarter. These 2.8 million square feet, along with over 1.2 million square feet of signed leases that have not yet hit our revenue and occupancy totals 4 million square feet, and it compares favorably to the 3.8 million square feet of lease expirations we have through the end of 2026. This is what gives us confidence that we can grow our occupancy as we look ahead into 2026 and 2027. That completes our formal remarks. Operator, can you open the lines up for questions?
Operator: [Operator Instructions]. And I share our first question comes from the line of Steve Sakwa from Evercore ISI.
Steve Sakwa: I guess, Owen or Doug, as it relates to 343 Madison, I mean the commentary around the demand is quite good. I realize the building doesn't maybe lend itself to pre-leasing given the size of tenants, but like how are you sort of sizing up the start, no start pre-lease -- and is this just a building where you kind of have to make the commitment to go forward, get it under construction before you can really get any leasing? And what kind of yield are you targeting on this building should you go forward?
Unidentified Company Representative: Our goal was to area. It is $950,000 for bio pre-leased will not be likely at the property, it will be in the 50 to 250 range we might get. So that's our first priority. We do have a decision point at the end of July with respect to going forward with the project. And given that demand profile that I described in my remarks, we have a lot of confidence in this property. We don't have to make that decision until July, but that's when we'll have to make it. And then our forecast yield or what we're trying to get on the property is 8%, which we think is appropriate given our interest rate environment that we're operating in.
Douglas Linde: And Hillary, you just might want to comment. So you've been part of every one of these presentations we've done. I think there is a significant amount of interest for organizations of to 300,000 square feet that actually would consider and are considering doing a precommitment to this building.
Hilary Spann: Yes, that's right. We've had numerous conversations and multiple rounds of those conversations with some tenants about committing to the building, which at 150,000 square feet is a little bit unusual. Usually, those tenants are not looking 4 years out for their space. But it remains the case that very high-quality space at scale in the Park Avenue and Plaza District submarkets is vanishingly rare. And so those companies are willing to sort of look ahead of time and stretch in terms of figuring out how to get into 343. So there has been a lot of interest from folks who are willing to commit on a pre-lease basis.
Operator: And I show our next question comes from the line of John Kim from BMO Capital Markets.
John Kim: Doug, you mentioned in your prepared remarks the plan this year is for 4 million square feet of leasing, including 3 million square feet on vacant space and '25 expirations. I just wanted to ask how confident you were on this plan. And when you look at the expirations this year, you have about 1.9 million square feet expiring. So can we deduct that you. Planning to grow occupancy by about 1 million square feet this year. I'm not sure how developments and first quarter activity factors into this.
Douglas Linde: Yes, sure. Thanks for the question, John. So as of today, we've done about 1 million square feet of leasing on bacon and '25 expirations. And in my sort of pipeline of what's under negotiation today like leases that are being actually documented there's another 400,000 square feet of vacant space and 250,000 square feet of 25 expirations. So net-net, we're actually more than halfway there. And again, my pipeline of other activity has another 1 million square feet of that type of space. So we -- I feel really good about our leased square footage percentage I say this with all due respect. It's really hard for us to correlate at least with occupancy on a quarter-by-quarter basis because we just don't know when that revenue is going to commence. And so if you're looking at our lease square footage, which is what I'm trying to point people to, and that number is continuing to expand, that is going to be where the revenue comes from. And as I said, the vast majority of what we're doing today is going to be in '25 or '26. So I am very confident of our occupancy build as we move into 2016 because all the things we're doing now will be in-sourced by that. It's very hard for me to say on 12/31 and 2025, our occupancy is going to be ex percent because I just don't know what the revenue recognition is going to require for us.
Operator: And I show our next question comes from the line of Nick Yulico from Scotiabank.
Nick Yulico: I guess maybe just following up on the point on how to think about occupancy and earnings impact through the year. Can you maybe just frame out -- I know, Mike, you gave the expiration that's known in the second quarter. But as we're thinking about all this pipeline of activity that's either gotten done or you feel like it's going to get done, how much and the impact for 2025 on NOI, occupancy, FFO, how should we think about the earnings guidance range right now about what still needs to get accomplished to get to certain points on the range for, let's say, occupancy and FFO?
Michael LaBelle: Look, we narrowed range primarily because of the success that we had in our leasing and the timing of some of those occupancy starts that we now know about. So the bottom end of the range was lower. We've got a lot of leasing done, so we have a lot more confidence that the bottom end is better, and we brought up the bottom end of our same-store guidance as well correlates to that. from the top end of the range was related to the starts that we might have or at least in that will be on that manage start now in 20 were started in 2025, but we're doing deals on deals where we get the revenue recenters deals will probably be in 2 -- so we are going back a little bit on the top end of our range primarily for that reason. We feel highly confident in the range that we have in the press we provided. -- that's upon the activity that we have. I'll give you 1 example of the relief that is meaningful. -- and we've done this 4,000 square feet, which is fabulous and great and start 2026, right? So it's not going to an occupancy in 2025. On the other hand, we have another call 10,000 square feet of availability in that building. We're talking to 2 tenants right now. One of those tenants, we take this space immediately. The other tenant will probably not take the space until 2026.
Douglas Linde: So if on average, the rent there is $100 a square foot on 100,000 square feet, right? That's a meaningful amount of dollars that is going to shift one way or the other, and therefore, is why we have the range where we have it. And unfortunately, we just don't know until these leases are signed and we actually see what the condition requirements are of how we're delivering the space, which way we're going to go. And is that sort of subtlety that sort of is why we're -- I am so fixated on our lead square footage and not necessarily our quarter-to-quarter occupancy.
Michael LaBelle: The other transaction that I described in my notes and maybe I'll try to describe a little better, these 4 floors that we have in 599 and the Back Bay, where we have leases in place, right, that are expiring either at the very end of '25 or early in '26. So we know those tenants are going, right? So we're marketing that space now, and we have live clients that need to expand or want to come into the building and they want to be in, in [indiscernible] So in order to get this '26, we have to do something with the existing tenant that wants to leave in 2025. And that's a good thing for our occupancy going forward in our revenue going forward, but we're taking some ships up in table -- all of that is into 2025.
Operator: And I show our next question comes from the line of Ronald Kamdem from Morgan Stanley.
Ronald Kamdem: Just a quick one. We've been having a little bit of trouble hearing. Maybe it's just us. But I guess I'd love to focus on, one, just trends on the ground in the life science market. I think you talked a little bit in your opening comments about that space, but you guys always have a pretty good perspective. Just what are you seeing? And what do you think it will take for that to turn around? And then if I could ask a little bit of a follow-up just on the Boston market overall. We've seen job growth starts to slow there. Just what are your thoughts there?
Douglas Linde: So let me answer the question on Life Science first. I would say that we have seen very little in the way of new requirements for raw life science space in either South San Francisco or in the greater Boston Waltham, Lexington market, which is where we have our space. We are seeing, as I described earlier, life science organizations that want office space, looking at our portfolio in Greater Waltham, in a meaningful amount. And so I would not be surprised if we have leased well over 100,000 square feet of life science client demand, but not lab space in our Waltham marketplace in 2025. And I think things are actually slightly more extensive and more robust, and I use that suddenly because it means a pickup in demand is way the greater Boston market than it is in the [indiscernible] marketplace. The issues associated with following to the health and human services world and how that's impacting potentially new therapeutics are going to be regulated by the FDA. I think is creating a lot of[indiscernible]
Operator: Ladies and gentlemen, please continue to hold your conference call will resume momentarily. Please continue to hold your conference call will resume momentarily.
Douglas Linde: Okay. We're back. I think can you hear us?
Operator: Yes. Loud and clear.
Douglas Linde: And then your question on Boston is relative to just overall demand growth and job growth. I'll let Bryan handle that one.
Bryan Koop: Yes. I think the key for closing right now, especially in our Urban Edge portfolio momentum that Dougan on both brought up -- and I can't say this is a huge trend yet, but what we are seeing in a couple of deals that we were able to land in this first quarter. They were transactions that were heading some other place but needed capital, which the building wasn't able to supply, we're seeing more of that because of capital stack issues and a lot of the existing product out there. And then also flexibility that Doug mentioned on that 1 defense contractor transaction, where we were able to pivot from a life science development that we had for that building laid out to the office use and specialized use for this defense contractor. So flexibility and capital are really certain that be something that's getting noticed by the tenant rep community in a bigger way. We'll see how big of a trend that is, but it's certainly helping us to get deals transacted.
Operator: And I show our next question comes from the line of Anthony Paolone from JPMorgan.
Anthony Paolone: Can you talk about your West Coast leasing activity and what you're seeing there as it relates to strengths and weaknesses by either tenant type or submarket and anything that's changed in the last couple of months?
Douglas Linde: Yes. So I'll make a brief comment, and then I'll turn it over to Rod. My view is that, as I said earlier, the large users have all sort of landed and there's a significant amount of embedded tenants in the market, but they're all of a smaller nature. And for the most part, the financial services, legal, professional services are incrementally either staying in place or seeing a modest amount of space reduction still. But there are quite a few, what I would refer to as early-stage and smaller AI and other technology companies that are in the market looking for space, Rod?
Rodney Diehl: Yes, I think that's right, Doug. And mostly, what we're busy with right now with the leasing, particularly at Embarcadero Center, has been with a lot of the law firms, other financial firms that are in the market. And these are relocations generally -- so that's very active, though. There's been a lot of them, and it's contributing to the volume that you've seen coming out of the West Coast. On the AI front, it's still meaningful. And I think it's important to note that the footprint of AI companies in San Francisco now is over 5 million square feet. And so there's a lot of companies that are out poking around. And again, names that we haven't heard of or have not heard of in the past are showing up and taking space and it's encouraging. And so I think that we're going to continue to see that. We are seeing, I'd say, a little bit less of that down in Silicon Valley. It's been a little bit slower down there, but there's still, I think, a few more larger requirements that have hit our radar in the last month or so, which is good.
Operator: And I show our next question comes from the line of Blaine Heck from Wells Fargo.
Blaine Heck: Can you talk about leverage and funding a little bit more debt to EBITDA ticked up to 8.3x on your numbers this quarter, which is higher than you've run it historically. I guess how are you thinking about your comfort there given the additional projects you're taking on any thoughts on near-term moves to bring that down? Or should we just expect you to kind of wait in anticipation of natural downward movement in that metric as developments come online and with potential occupancy upside?
Michael LaBelle: So the first quarter leverage went up a little bit, and it was kind of exacerbated by the seasonality of the first quarter. So our G&A is much higher in the first quarter than it is for the rest of the year. So that was a big reason because the EBITDA for the first quarter is just lower, and then you annualize it and it makes a big difference. So if you kind of normalize for that, it was more like 7.9%. So it still did go up from the $7.65 to $7.9 billion. And I would expect that it's going to continue over the next several quarters to move up as we fund the development pipeline. And then when 290 Benny delivers in the second quarter or third quarter of next year, mid next year, we're going to get a lot of income coming in. We also have leasing continuing on the other parts of our development pipeline that will bring income in -- so I would say it would be moderating after that. From a funding perspective, we continue to use incremental debt today, which is why you're seeing the leverage move up a little bit. We continue to view that once our pipeline delivers, our leverage will go down from here. And then as Owen described, we're looking at monetizing non-income-producing real estate. So Owen mentioned $250 million of land transactions we're working on, where we could execute and sell those assets over the next couple of years. And we're going to continue to look at opportunities like that to assist us with funding. And then we'll also look at private equity sources if we need to. And depending on where our stock price goes, public equity sources, it just depends on where that is as well as incremental debt in order to fund additional investments that we may have.
Douglas Linde: Yes. I just would make one last comment, which is that 290 Binney Street from a cash perspective is going to be online in less than a year. So we may not be recognizing revenue, but the cash is going to be there. So effectively, on a true basis, our EBITDA is going to start coming down in a meaningful way when that happens. And I believe that's late April of 2026. So even though occupancy may not occur from a revenue recognition perspective, the cash is going to be up.
Operator: And I show our next question comes from the line of Jana Galan from Bank of America Merrill Lynch.
Jana Galan: Thank you, just wanted to congratulate you on the refinancings and financings completed in 1Q and the market timing. I guess given the capital markets volatility in the last month, can you comment where you think BXP can issue unsecured debt, secured and what CMBS pricing would look like today?
Michael LaBelle: Look, as I mentioned in my call that the bond market for us has widened, and now it's coming back. So things are kind of settling down a little bit in the bond market over the last week or 2, I would say. So our bond spreads kind of in early April, they moved out 50 basis points, and now they're up 30 basis points. So they're settling in. And I think for stronger credits the spread widening is less. And when you get out into high yield, the spread widening is significantly wider. So that's in the unsecured bond market. And I think the same thing is in the CMBS market. high-quality, lower leverage deal can get done and higher leverage stuff is going to be tough. And AAAs on CMBS widened pretty dramatically. So they had gotten to 100 basis points or less, they went out to 250 basis points, and now they're back below 200 basis points. So there's just been a lot of volatility. So again, I think people have to think about timing and be prepared in advance to strike when that market is good. And again, I mentioned the commercial paper market, which is also a live market that we're in every day. And there's been a little bit of widening there. But again, it's kind of settled down. So I would say things are improving right now. We can issue 10-year unsecured debt at a -- the CMBS market is really dependent on, I'd say it's more asset specific. I think if you have a 50% leverage, high-quality loan with good weighted average lease term, you could probably get it done in the low to mid-2s over probably the 5-year, I would say 10-year is harder to come by.
Operator: And I show our next question comes from the line of Seth Berge from Citi.
Seth Berge : I just wanted to ask a quick question about your and service portfolio occupancy guidance that looks like Reservoir Place and Rustin Center were kind of taken out in 651 Gateway wasn't added this quarter. Kind of what are the puts and takes there? And -- are there any changes that we should be thinking about there as it relates to kind of the NOI run rate kind of going forward?
Michael LaBelle: So we talked about Reston Corporate Center last quarter. So that's a building that was 100% leased at the end of the year. The tenant vacated, we knew they were going to vacate. And it's the location for us to build the next phase of Reston Town Center, which is 3 million square feet of density. So that's been in the works for years. And we actually have the density approved, and we'll be working over the next few years trying to make some of that development a reality. Reservoir Place was the asset I mentioned on my remarks, which was a building in the Urban Edge of Boxton. It's an older office building incredibly well located, great visibility, and we think there is likely a better utilization for that real estate potentially. So we elected to start to move some of the clients that were in there into other buildings in our portfolio. Some went to CBD, similar to other Urban Edge assets, and we just elected to take it out of service and that was a 350,000 square foot building, and it had, I think, 220,000 square feet of vacancy at the end of the quarter. As I said, we're relocating tenants out of it. There's a couple of other buildings that we are considering pulling out of service also suburban buildings that total somewhere between 250,000 and 300,000 square feet that are vacant today and we could take out of service. And then the development pipeline, which is coming into service includes 651 Gateway, 360 Park Avenue South and Reston next block. And so all of those will get added, we believe, sometime in 2025, although at 651 Gateway, we're kind of taking the lead from our partner and when they deliver that. But if all of those deliver and there's no additional occupancy, that would add somewhere between 50 and 70 basis points. to the vacancy on the headline.
Operator: And I show our next question comes from the line of Alexander Goldfarb from Piper Sandler.
Alexander Goldfarb: Mike, just -- or Doug, just going back to the discussion on the uncertainty over when tenants take occupancy on the initial outlook call back in, I guess, it was January, early February, the discussion was of a steep FFO ramp in the back half of this year based on how the occupancy trends were going and kind of taking space. Do you still feel comfortable that we'll see this ramp up in the back half of the year? Or because of what you were talking about as far as uncertainty over when tenants may take space, that ramp-up may actually be pushed to 26% versus seeing it in the back half of this year?
Michael LaBelle: I mean, Alex, I think it will be both, right? So if you look at our -- the midpoint of our guidance, right, and you look at what the FFO needs to be in the third the remaining quarters, the second quarter is going to be impacted in a little bit of a negative way, although it's up a little bit primarily because G&A is lower. But the third and fourth quarter is going to be up pretty meaningfully -- and a lot of that is coming from occupancy that is occurring on leases that we've either already signed or we are signing. And so that's going to be coming in through the same-store primarily. So that's why the -- if you just look at -- I think we're at $1.66 in the second quarter, $1.64 in the first quarter, we got to average like $1.78 or something in another 2 quarters. in the third and fourth quarter. So that's coming from that ramp-up. That's what you're seeing.
Operator: And I show on next question in the queue comes from the line of Omotayo Okusanya from Deutsche Bank.
Omotayo Okusanya: Yes. Thanks for taking the time. I feel like there's been a lot of focus on just where areas or so in [indiscernible] kind of what it could mean to your numbers and the expectation of a ramp-up in the back half. But could you talk and about potential opportunities to actually exceed guidance and what could be some of those kind of factors.
Douglas Linde: I just -- I want to make sure I heard you right. Your -- just to answer your question again because it was a little blurry.
Omotayo Okusanya: Sure. So I think, again, on the call, we've talked a lot about potential risk to your numbers accelerating in the back half, whether it's the slowing economy or clients taking a little bit longer to make decisions. I'm curious for us to flip that around and kind of hear from you in terms of opportunities where you could actually have better numbers? And what would kind of drive some of that?
Douglas Linde: Yes. So that simply put increasing the amount of leasing that we're doing on vacant space where we're able to recognize the revenue more quickly is going to -- will drive that. And so we have, again, a lot of opportunities in both our Manhattan portfolio, which is obviously where the most strength is, and that includes [indiscernible] Avenue and 360 Park Avenue South. And then at our Embarcadero Center portfolio in San Francisco, which, again, where we have opportunities for meaningful increases in occupancy. Those areas will be where if we have outsized performance for our leasing in 2025, where they will come from. And we have -- again, we have yet to see any signs of duress or hesitancy in either of those markets to date -- not to say that it won't happen. Lots of macro economists are calling for negative GDP growth and a recession and all kinds of things like that. Again, our behavior of our client interactions, we're not witnessing that yet.
Operator: Thank you. And I show our next question comes from the line of Dylan Bazinsky from Green Street.
Dylan Bazinsky: Just sort of wanted to go back to some of the comments on a lot of your West Coast markets and particularly you're still seeing tenants rationalized or downsized space, particularly amongst the legacy larger big tech companies However, meanwhile, in certain markets like New York, right, you're seeing Google renew a lot of their speeds. You're seeing Amazon take down new expansionary space. So clearly, there's some appetite for space across their current markets outside the West Coast. So I guess just as you think about it and speak with these tenets and Steve brokers and whatnot, like at what point of the downsizing cycle for a lot of these tenants on the West Coast, do you think we're in? Do you think like they still have another 20%, 30% of the space get back? Or do you think it's going to be more incremental from this point on?
Douglas Linde: So I'm going to -- I'll start the question or the answer, and I'll let Rod del comment on what's going on in his view in the West Coast and telecare talk about the contrast in New York. So my comment would be -- you have to separate what's going on in the CBD of San Francisco from a downsizing to what's potentially going on down in the Silicon Valley or the Peninsula, however you want to describe it. There is -- it's a very different place. I think that you're seeing de minimis, if any significant increases in subleasing or terminations of lease upon expiration in greater CBD San Francisco today. But you are seeing pieces of meaningful amounts of space from technology companies that overall in the greater Silicon Valley are still available and could be made available. And my guess is if you ask that some of the large companies, if they could rationalize more space than the answer would probably be yes. So the -- I think that's sort of the big picture perspective. And then in the city of Manhattan. I think it's a little bit more subtle. We have some organizations that are growing significantly, and then we have some that are, I'd say, remaining status quo but not necessarily downsizing. And Rod, I'll let you go first, and then I'll ask Hilary for her remarks.
Rodney Diehl: Yes. Thanks, Doug. I think it's a good observation that some of these legacy larger tech companies that are based in the Bay Area while they may have excess space in the Bay Area are still very active in other markets. I mean, as we talk to our clients in that sector, we're hearing that. So I think in the big area, what you've got is when you look at the big firms that are based here, they have a lot of owned space in addition to the leased space. And I think you're seeing them each one of them with a little bit of a different story, but there in their own way, consolidating into their premier workplaces, if you will. They've taken maybe spaces in the anticipation of growth that maybe are not of the quality they want. And so those are the spaces they're putting on the market for sublease and they're folding back into their core better properties. And so I think in the Bay Area at least, those firms still do have some excess capacity, and we're going to have to work through that in supply. You see that in the statistics. But I think that's what I would say with the firms that are based in the Bay Area in particular.
Douglas Linde: But Rob, that's more of a insula Silicon Valley issue than a city of San Francisco, is that correct?.
Rodney Diehl: Yes. I mean I think there are some examples of that in San Francisco, but it's mostly down in the Valley and with the largest firms that are down there. And again, each one of them kind of has their own story. But there's probably more of that space down in the Valley, and I'm talking excess capacity sublease space than there is in San Francisco.
Douglas Linde: And then Hilary your view on what's sort of going on with Live Tech in Manhattan?
Hilary Spann: With large tech in Manhattan, specifically on tech, I would say that the large tech is stable at this point. We've heard that Meta has taken some space that they were planning to sublease off the market, and we'll be occupying that themselves in Hudson Yards. You referenced the Amazon transaction. That's obviously positive for that building and absorption in the market. We're also starting to see more activity in the smaller tech space in and around Midtown South. And so that has been a net positive because most of the big leasing that's been done in that submarket has actually been done by more traditional type tenants coming out of Midtown proper. So as it pertains to tech, I'd say New York feels stable. And we are starting to see some green shoots on the leasing front. And more broadly speaking, in terms of downsizing and versus folks expanding. If I could just give one statistic of all the leasing activity that the New York region did in the first quarter, which was just over 390,000 square feet, 11,000 feet was a straight renewal. And everything else was either a new tenant or an expansion. So if that gives you a sense of the pressure of demand in New York, I thought that was a pretty interesting statistic.
Bryan Koop: One additional thing for Boston both tech and call it conventional clients, whether it's law or finance is that we are seeing a trend where there's an adjustment being made as people understand their workforce needs greater. There was an undershot, in other words, not enough space allocated for focus work, and there was maybe extra collaboration that space that's all getting used, but we're hearing from several clients in both of those such tech included that, hey, we undershot the focused work areas and they're needing to add on that. So we'll see how the formula turns out and whether that's a big nice absorption issue for us. Bbut it is definitely happening where they start to get a greater handle on the percentages of workspace they need.
Operator: And I show our next question comes from the line of Brendan Lynch from Barclays.
Brendan Lynch: I wanted to follow up on your comments around pulling forward some expirations to redevelop assets. It sounds like the specifics of those redevelopment projects are still under consideration. So can you just talk about when that might be finalized and when the actual development process might be able to begin?
Douglas Linde: That's it. So that is a very fluid entitlement and user equation that has to sort of get resolved. So as an example, Brian and his team in Boston are at the moment and having a conversation about a piece of existing office space that they're thinking they might be able to get zoned for a meaningful amount of multifamily. As those -- that conversation sort of moves forward, there's a jurisdiction, there's a state, there are transportation issues, all that sort of has to get resolved. And these are time-consuming processes. So it's very hard to sort of give you a short duration date for that stuff, unlikely any of it will be actively in development in 2025. And but opportunities for some of the stuff to really start to come in 2026 and 2027.
Operator: And I show our last question in the queue comes from the line of Peter Abramowitz from Jefferies.
Peter Abramowitz: Yes. I just wanted to ask about 125 Broadway. I believe Biogen announced they're going to be moving to a new development elsewhere in Cambridge. I know you have until '28 address that. But just curious about kind of the asset, whether you think it needs any repositioning or whether it's something that you think you can just release kind of as is? And how much of that space is traditional lab space versus office and thinking about positioning that for potentially a new tenant?
Douglas Linde: Yes. So I'll just describe what the building is and I'll let Bryan describe the market. So 125 Broadway, is a true lab building, which is predominantly lab infrastructure, and it's been the home of Biogen for 30-plus years. and the building has been reinvested by Biogen, but I am sure when Biogen moves out, if, in fact, they're moving out, they haven't told us they're moving out, but there's a presumption that they're moving out. there will be some amount of work that needs to get done to rethink the systems in the building, but it's -- in all likely going to continue to be a life science going.
Bryan Koop: Yes. They -- we're going with the assumption as Doug said, that they would be moving out. However, they have told us .. that they're still assessing their needs and several of those needs are called specialized uses within that particular building. and determining whether or not in fact it can go to the next phase. But in terms of that being in the cluster that we've got there is to get that building back, we'd be highly confident in that as a product. But we are talking to BioGen about their portfolio needs there, which we've had there for 40 years. So there's a lot of fluidity to it.
Operator: Thank you. I'm showing no further questions in the queue at this time. That concludes our Q&A session. At this time, I would like to turn the call back to Owen Thomas for closing remarks.
Owen Thomas: No further remarks. Thank all of you for your attention and interest in BXP.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect. Good day.